Operator: Good morning, ladies and gentlemen, and welcome to the Bombardier Fourth Quarter and Full Year 2023 Earnings Conference Call. Please be advised that this conference call is being recorded. At this time, I’d like to turn the discussion over to Mr. Francis Richer de La Fleche, Vice President, FP&A and Investor Relations for Bombardier. Please go ahead, Mr. Richer de La Fleche.
Francis Richer de La Fleche: Good morning, everyone and welcome to Bombardier’s earnings call for the fourth quarter and full year ended December 31, 2023. I wish to remind you that during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward looking statements and underlying assumptions, please refer to our MD&A in our 2023 annual report. I’m making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Éric Martel; and our Executive Vice President and Chief Financial Officer, Bart Demosky, to review our operations and financial results for the fourth quarter and full year 2023. I would now like to turn over the discussion to Eric.
Éric Martel: [Foreign Language] Good morning, everyone and thank you for joining us today. Before we get started, I would like to express my deepest gratitude to our team members listening around the world for a very successful year. 2023 was a significant turning point for Bombardier. We overperformed on many fronts, and we delivered on the solid foundation we set for ourselves over the past few years. None of it would have been possible without the passion and dedication of our more than 18,000 people. Thank you. Our 2023 numbers show that the team executed the plan in a very methodical and consistent manner. We met or exceeded our guidance on all fronts for the third year in a row. Revenues were up by 16% year-over-year, reaching $8 billion, the highest since the company refocused its activities in 2021. Profitability also reached new heights. We executed on our strategy effectively, and this allowed us to achieve a real step change. Our adjusted EBITDA rose by 32% year-over-year and reached $1.23 billion, beating our 2023 guidance by more than $100 million. Our adjusted EBIT stood strong at $799 million. Finally, the most impressive growth metric is our net income. On an adjusted basis, it jumped to $3.94 per share, 5x more year-over-year. Net reported earnings per share hit $4.70, representing not just a swing to the positive, but a big leap into the black. This great financial performance was driven in part by the 138 deliveries we put on the board. Considering the ongoing pressure on the supply chain and the struggles some have faced in our industry, reaching our delivery target is a major accomplishment. Bombardier products tapped into a consistent and stable demand environment in the medium and large categories. We achieved a book-to-bill of 1 on a higher number of deliveries year-over-year. Not only did we keep our momentum in key markets, but we eclipsed all competitors in our segment when it came to firm orders. With our strong and diversified backlog of $14.2 billion, we have a clear line of sight on our skyline for the upcoming years and can look with confidence at the future. While we are in a more normalized demand environment, we see sustained activity across customer types and have the right portfolio of aircraft to continue to lead the industry. Another key driver of our revenues was the aftermarket, which delivered record high revenues of $1.75 billion for the year. As you know, we have significantly extended our network with each year – with each quarter passing we are seeing a consistent and predictable growing contribution to our business. More importantly, our growth has a tremendous importance in supporting our customer through more touch points in their aircraft life cycle. Before we set our sights on 2024, I would like to provide a little bit of color on the initiatives we launched in 2023. They are well aligned with our strategic priorities and will help fuel the raised 2024 guidance that Bart will explain shortly. First, we ensure that our product continues to meet the highest standard and keep elevating the travels of our clients around the world. On that front, it’s abundantly clear that Bombardier leads the industry. Our newly introduced Challenger 3500 stole the show. It reigns as the top pick for fleet operators and is quickly making its way to 100 deliveries. This platform won significant deals with Airshare and AB jets and recorded another large order in December. In the large category, the Global 7500 airframe continues to simply wows clients around the world. It is the largest and fastest certified and in-service jet in the sky. In fact, we delivered the 150th Global 7500 last fall and announced that our fleet has well surpassed 100,000 flying hours. The Global 7500 is now a proven platform that clients choose for its outstanding range and unrivaled smooth ride. In parallel, our Global 8000 development program steadily progressed towards its entry into service in 2025 with all engineering work being on track. The Global family of aircraft is also shining bright in the defense sector, with the Global 6500 winning the trust of governments and military entities all around the world. With the exceptional range and payload capability, the Global 6500 allows defense customers to fly faster, higher and longer than legacy intelligence, surveillance and reconnaissance recognizance platforms. This is exactly why the U.S. Army announced in January, the purchase of a Global 6500 with options for two more to serve as a prototype for [Technical Difficulty] this program. This marks the first time the Army will use a large business jet for intelligence, surveillance and reconnaissance missions and represents a tremendous show of trust for Bombardier Defense. Over the past year, our team also delivered Global aircraft to the U.S. Air Force as part of the BACN program and to Saab as part of the globalized solution for the Swedish Air Force. It was a banner year for Bombardier Defense, and I look forward to what 2024 will bring for the team. As mentioned earlier, another key pillars of performance is our newly expanded service network. Over the past year, we focused on integrating our new and expanded facilities to the Bombardier family and we continue to refine our offer in order to meet the needs of our clients at every points of their journey. We are already starting to see the return of those efforts, as an increasing number of Bombardier clients choose to bring their jet home. Over the last 2 years, our aftermarket revenue increased by more than 40%. We remain on track to reach or exceed our goal of $2 billion in revenue by 2025, and there is clear opportunity for growth beyond that point. Another highlight was the introduction of our certified pre-owned program which has been met with great enthusiasm. This premium class of pre-owned Learjet, Challenger and Global aircrafts offers refurbished and upgraded jets, that meets Bombardier’s highest quality and safety standards. With this program, we created a new segment in the market and continue to add value through all our clients’ journey. And finally, let’s discuss sustainability. We demonstrated Bombardier’s deep commitment to a greener future as well as our company’s undeniable leadership on that front. Our EcoJet Research Project reached significant milestones and is steadily progressing towards the goal of dramatically reducing aircraft emissions. This project doesn’t only exist on paper. Our teams are currently ramping up our second phase of flight testing with an 18-foot-wide blended-wing-body prototype. We also revealed our first partners, the University of Victoria and its renowned Center of Aerospace Research. Innovation is part of Bombardier’s DNA and will continue to channel our company’s unrivaled talent to build the aircraft of the future. Sustainability is also top of mind when it comes to our operations and we are committed to continuously improve the energy efficiency of our sites around the world. Our newly built Pearson Airport manufacturing facility in Toronto is a perfect example. It will use 60% less energy than our previous site. Once the move is completed, more than 2,000 of our employees will work at this state-of-the-art facility. I had the pleasure of visiting the site at the end of January, and I want to commend the team for executing this historic move without impacting our operations. Speaking of operation, I want to acknowledge their remarkable performance in meeting their target, despite the notable pressure coming from the supply chain. The actions we have put in place since the pandemic have allowed us to mitigate the impact and deliver strong results year after year. It is, however, important to acknowledge that we are still hitting turbulence and need to remain highly focused on monitoring and proactively supporting our supply chain. I also want to touch on some key levers that shape how we are navigating through 2024 and allow us to confidently maintain our 2025 objectives. First and foremost, we have delivered step changes in profitability by leveraging an aftermarket growth. We are well ahead of plan. When it comes to deliveries, our healthy backlog of $14.2 billion provides us with predictability and visibility in the short term and well into 2025. Just looking at 2024, we’re increasing our delivery targets, aiming to put between 150 and 155 new aircrafts in the sky this year. The one area of short-term focus that merits comments is supply chain. While we have everything in place to achieve our objective, I want to highlight that our delivery profile for the year is largely set by the pace at which we receive parts from our supplier. We are in an environment where we continue to play the cards we are dealt versus planning an ideal production schedule. This, of course, will mean we must build more inventories in the first half to then deliver higher volumes through the back of the year. All this being said our team has firm grasp on this and demand remains strong for our aircraft. We expect a steady influx of sales in 2024. We will continue to raise the bar by offering the best aircraft, build our aftermarket and defense business, invest in innovation, and fortify our position as an industry leader. Before turning to Bart to take a closer look at our financial performance, I want to highlight the incredible strength that lies in our team’s collective effort. The pure talent of our employees is what drives us forward and what will allow us to reach new heights in 2024. Bart, over to you.
Bart Demosky: Thank you, Eric, and good morning, everyone. 2023 was another excellent year for Bombardier. It seems that every time we get together for our quarterly call, we are talking about how our company is reaching new heights, and today is no exception. We’ve, once again, met or exceeded all of the expectations we set for ourselves and are positioned for another strong growth year in 2024. So, let me start with my comments by recapping just a few of the financial achievements we delivered last year. First, we’ve now crossed the $8 billion threshold of revenue. Our aftermarket revenues grew by 16% versus last year and are more than 75% higher than 2020. Our adjusted EBITDA increased by $300 million or 32% in just the past 12 months. Our EBITDA margins are now above 15%, a 180 basis point improvement versus 2022 and a remarkable 1,220 basis point improvement versus 2020. Our adjusted earnings per share were $3.17 higher than the previous. And over the past 3 years, our business has generated $1.1 billion of free cash flow. And last but not least, our leverage has improved 28% versus last year and now stands at 3.3x. We met or exceeded our guidance commitments across the board, demonstrating strong resilience despite a more volatile environment and a difficult supply chain. We’ve accomplished all of this while making significant progress on our strategic priorities, which Eric just covered in detail. Our 138 deliveries led the industry and our unmatched portfolio commands a significant market share. As well, our $14.2 billion backlog provides us with strong visibility into our Skyline and the future financial performance of our company. On the defense front, we made great progress towards growing the business, both by securing orders for new government programs as well as continuing to deliver aircraft on existing platforms. We have visibility into a significant pool of opportunities to grow this business and our Global 6500 aircraft is very well positioned to win many campaigns. Our aftermarket revenues again grew at a double-digit annual growth rate of 16% as we continue to capture market share and benefit from the ramp-up of the facilities, we opened last year. We see great potential for continued growth in this business and are delighted with the regular and recurring revenues and cash flows it brings. 2023 saw us make significant strides in improving our balance sheet with $400 million of debt repayment in the year, extension of our maturity runway so that we have no maturities for approximately the next 30 months, and receipt of credit rating upgrades from both Moody’s and S&P during the year. We finished the year with $1.8 billion in liquidity, and net debt of $4 billion. And to top the year off, our net leverage resoundingly broke the 4x level to finish the year at 3.3x. We are on track to retire an incremental $1 billion of debt over the next 2 years, bringing us to our long-term leverage target of 2x to 2.5x. It is abundantly clear to me that Bombardier’s performance is not purely the result of market cycles. We’ve designed ourselves to be resilient and deliver strong results in many different market backdrops. We are performing at a high level. We are meeting and exceeding our commitments. We continue raising the bar and we are poised to continue to create tremendous value for all of our stakeholders. Turning to our financial performance for the year. As I mentioned earlier, we saw 16% growth in revenues, reaching just over $8 billion, driven by 138 aircraft deliveries as well as $1.75 billion in aftermarket revenues. Our aircraft manufacturing and other revenues grew by $916 million, largely the result of 15 incremental deliveries, improved aircraft mix as well as better pricing. Shifting to profitability, adjusted EBITDA for the year soared to an impressive $1.23 billion, representing a strong adjusted EBITDA margin of 15.3% and a 180 basis point margin expansion compared to the previous year. The robust growth in adjusted EBITDA is mostly attributed to strong conversion on our incremental revenues, including those in our aftermarket, the continued margin expansion on our aircraft platforms, all the while managing a challenging supply chain. Our adjusted EBIT for the year grew to $799 million, a remarkable 55% rise compared to the $515 million result the year prior. Our adjusted net income is now squarely positive, rising to $416 million compared to $104 million the prior year. As you can see from these results, our business has reached a stage where it is generating substantial profits and we expect continued profitability growth next year. Looking at our free cash flow, we finished the year on a strong note by generating $646 million in the fourth quarter, due largely to the $450 million in EBITDA we generated in the quarter as well as from positive working capital, mainly attributable to a decrease in inventory as we delivered 56 aircraft. For the full year, this translates into a free cash flow generation of $257 million, right in line with our full year guidance of more than $250 million. Now, looking ahead to 2024, we are well positioned for continued growth. We expect to deliver between 150 and 155 aircraft with the growth versus 2023 coming from our Challenger platform. We expect Global deliveries to remain stable in 2024 before growing in 2025. Our free cash flow guidance of $100 million to $400 million reflects working capital investments, supporting the anticipated growth in deliveries in both 2024 and 2025 as well as to support continued aftermarket growth. We also expect CapEx to now be below $300 million for the year. Moving to the P&L, we expect revenues to be between $8.4 billion and $8.6 billion, mirroring the anticipated increase in deliveries, improvements in pricing and the continued growth of our aftermarket business. In terms of profitability, we expect growth, once again, in 2024, projecting adjusted EBITDA to be in a range of $1.3 billion to $1.35 billion. This is driven by margin conversion on the incremental revenues as well as continued margin expansion on our new aircraft, including the positive effect of pricing over inflation. We do anticipate some headwinds, which partly offset our growth drivers, including continued supply chain disruption, along with strategic investments that we’re making in R&D, IT, and the support of our growth opportunities in defense and certified preowned. We expect our quarterly delivery and free cash flow profile in 2024 will be similar to what we saw in 2023, with deliveries to be heavily skewed to Q4, along with material inventory build over the rest of the year. This will result in free cash flow usage in the first half, including several hundred million dollars in Q1. This profile is not ideal but does reflect the supply chain’s current ability to deliver.  So, to conclude, we delivered another outstanding year in 2023. We are on track with all of our 2025 objectives, and I look forward to our company continuing to set new heights in 2024 while creating value for all of our stakeholders. With that, I’m pleased to turn it back over to Francis to begin the Q&A. Francis?
Francis Richer de La Fleche: Thanks, Bart. I’d like to remind you that the Bombardier Investor Relations team is available following the call and in the coming days to answer any questions you may have. For the question period, please limit yourself to one question and one follow-up. With that, we will open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] You first question comes from Walter Spracklin from RBC Capital Markets. Please go ahead.
Walter Spracklin: Yes. Thanks very much. Good morning, everyone. Congratulations on a great quarter and a good end to the year here. Turning my focus on your free cash flow, I heard – you indicated that there would be a higher working capital spend that would negatively impact your free cash flow for 2024, and that’s to support the higher delivery schedule and the supply chain uncertainty that’s out there. Is that to suggest then that you’re buying more this year than what you need to support the 150 to 155? Because I’m trying to understand, your free cash flow for next year is above $900 million, so I want to understand, are we getting over our skis with the $900 million now given this year is just $100 million to $400 million? Or is this really just kind of a big inventory build that might carry you several years and you’re doing that, given the uncertainty around the supply chain.
Éric Martel: I can get started and maybe Bart, you go on. So, good morning, Walter, and thanks for your question. I think I said that a few minutes ago, and Bart also, we are facing clearly some supply chain challenge. And I also said we’re playing with the cards we have. Last year, we had to make decision, I would say, probably in Q3, about slowing down some of the program, accelerating some others, based on whatever supply chain was capable of giving us. So, this has created, of course, a situation this year where on some program we reduced the number that we were initially anticipating, but increase on some others. So at the end, we’re delivering what we committed to do in terms of our number, but it’s creating the fact that we’re going to have to re-accelerate some of the lines that we reduced last year, some of the program, to deliver more of these program in 2025. So these acceleration, as you know, are happening earlier. So they are happening basically in ‘24 so that we can improve our product mix and deliver even further and better EBITDA and numbers for 2025. So, this has an impact onto this year, of course, but that’s how we’ve been thinking about it.
Bart Demosky: Yes. And just one point to add to that, Walter. With the growing earnings as well and the – basically 100% conversion to free cash flow that we see coming both in ‘24 and ‘25, we remain absolutely confident in achieving our 2025 objectives. This has purely to do with variability of the production line, as Eric highlighted, and the need to build working capital to make all the deliveries we have forecast and planned over the next 2 years.
Walter Spracklin: Okay, that’s great color. Appreciate that. And as my follow-up, it’s really on your guidance for ‘24. And when I compare it to ‘25, given that you’ve hit your aircraft deliveries of 150 to 155, I think that’s fairly close to where your 2025 guide was, where you had kind of indicated your deliveries would be in 2025. So, correct me if I’m wrong there, but really looking at the compare difference, therefore, in the revenue that you’re projecting in ‘25, EBITDA you’re projecting in ‘25, given that you’ve kind of hit your aircraft delivery run rate? Is it just in non-aircraft, like your services revenue that you’re going to see continuing to ramp up, other areas as well or maybe a little bit more color on bridging between ‘24 and ‘25 on those metrics?
Éric Martel: So, we’re still aiming for our 2025 objectives. That’s clearly not something we want to revisit. It could be a bit of a different product mix as we progress. So the number of airplanes will be around what we said. It could be, as an example, same number of Challenger, more Global, whatever the market and the supply chain will allow us. But we are still aiming for these numbers. And today, of course, we’re talking more about the 2023 and the positive outlook for ‘24. And of course, we will eventually, Walter, provide some 2025, and we’re still thinking about having an Investor Day also coming up sometime in Q2. We will announce the detail of that fairly soon. But in 2025, we still see the deliveries, the margin expansion, the aftermarket growth, better contribution also again by the Defense business, and we will be continuing the deleveraging. As Bart said earlier, we are still planning to shave another $1 billion roughly from our debt between ‘24 and ‘25.
Walter Spracklin: That’s great color. Appreciate it, and congrats again on a great quarter there.
Bart Demosky: Thanks, Walter.
Éric Martel: Thank you, Walter.
Operator: Your next question comes from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun: Yes. Good morning, thanks for taking my question. Basically, just looking at a couple of things. One, the step improvement in margin in ‘24 versus 2023 is kind of modest, I think, 30 basis points or 40 basis points, despite higher production and higher revenue, just feels like something is holding the margin back. I know you mentioned some of the strategic investment in R&D and defense. If this is what’s holding the margins back, because then your guidance for ‘25 implies a very large step-up basically to 18% margin, I think, versus 15.3% in 2024. So I’m just trying to understand kind of the factors that are maybe holding the margin back in ‘24, which will be released into 2025. And the kind of follow-up question is, what are you assuming in terms of aftermarket revenues in 2024, if you can provide that?
Éric Martel: Maybe I’ll start with the first part of your question, and maybe you can comment on the services part. I think, Fadi, but first of all, thanks for your question. I think the way you have to think about this is clearly related to product mix. As I said earlier, we had to make decisions in Q3 last year to slow down a bit on some programs, which have a large contribution to our margin, and based on the supply chain capability at some point, and this has all kind of ramification. Of course, the airplane, you don’t produce, you don’t sell them, and it’s being pushed to the right. So that’s one of the reason why you see a bit of the situation we’re facing right now in ‘24. Again, good news, we’re able to compensate by more on some other program, but at the end, the highest margin were – maybe had to slow down and – the largest contributor had to slow down a bit in ‘24. But we are extremely confident that these will come back for ‘25, which explain a bit the upside we’re going to see in ‘25 on EBITDA.
Bart Demosky: Yes. And just to add a little bit of color on that and to speak to the aftermarket side of things, we’re still projecting a very, very strong growth next year overall Fadi. And we do tend to, as you know, guide a little bit conservatively. That’s just the way we operate as a company and always have and expect to be consistent with that. For the aftermarket, we’re expecting another strong growth year next year. We’ve got more capacity in the facilities that we’ve brought online. We’re bringing on all the staff needed to fill those facilities up and to continue to take market share. So, we’re looking for another year of double-digit growth for the aftermarket.
Fadi Chamoun: Okay, great. Appreciate the color. Maybe if I can just sneak one in, because you mentioned the competitive landscape, and I see kind of your backlog in absolute dollar terms declined like 4% year-on-year at 14.2% versus starting at 14.8% this year. I know there is probably some underlying mix in there, but your peers increased their backlog 5%, and I think they ended up at 1.2 book-to-bill. Is there a competitive dynamic here behind kind of these numbers?
Éric Martel: Yes. Of course, and I don’t want to comment on the – on my competitor, but of course, if you don’t deliver, then that’s pretty good to keep your backlog to start. So, of course, you’ve seen that dynamic. We’ve delivered our guidance and – so we’ve delivered the airplane, and the dynamic I was talking about earlier, the fact that we have slowed down some program on deliveries, then it means that we couldn’t sell these airplane. But I think – and also you – so I’m very pleased. That was a bit of a different product mix, of course, on sales due to different reasons, supply chain being one of them. But I think the demand and we are a couple of weeks already into 2024 and the level of activity remains in-line with what we are expecting, which is to keep roughly a book-to-bill around 1. So, I guess it’s a difficult thing to compare with other OEM because we delivered all the airplanes we said we were going to deliver. And that’s the main difference, I would say, when you compare to other OEM.
Fadi Chamoun: Excellent, appreciate it.
Éric Martel: Thank you, it’s okay. Thanks, Fadi.
Operator: Your next question comes from Kevin Chiang from CIBC. Please go ahead.
Kevin Chiang: Hi, good morning. Thanks for taking my question here. Maybe my first question is just on working capital. If I run my – if I’m looking at the math correctly, it looks like you’re calling for an investment somewhere between kind of $200 million to $500 million to get to your free cash flow guide. I guess, one – I guess what drives that $300 million delta? Is it primarily just inventory and supply chain issues or are you making a call on book-to-bill as well, just given the ramp up in deliveries there? Just what makes it $200 million or what makes it $500 million as you kind of get through the year?
Bart Demosky: Yes. Hi, Kevin. And good morning. Thank you for the question. First thing I would say is, you’re modeling very well. So, the working capital build that you described is very close to what we’re modeling internally as well. As Eric described, last year was a year where we continued to have supply chain disruption, and that required us to change our production rates a little bit and we’re now reversing those, which will ultimately lead to higher inventory build along with the growth in overall production to meet our higher delivery plans. So, that’s where the working capital is coming from, and that is what ultimately is impacting our free cash flow in the year. Of course, as we get to a more stable delivery profile once we’ve come through this very strong growth period, that allows us to start releasing that free cash flow, which is why we remain very confident in the numbers we’ve put out for 2025. So, we’re feeling very good not only about where we’re at, but where we’re going in terms of our projections.
Kevin Chiang: That’s helpful. And maybe I can ask the EBITDA margin question a little bit differently as we kind of walk through ‘24, and you have your ‘25 target out there. Just given the cadence of deliveries, would you expect to exit ‘24 closer to your ‘25 target? I know it’s very back-half-weighted, so mix is going to be a constant here as we get through these quarters here. But as you think of bridging from 15.3% to 18% EBITDA margin in ‘25, is the exit rate in ‘24 closer to that 18%, as you kind of work through some of the supply chain issues and things start to normalize a little bit?
Bart Demosky: Yes, we’re pulling on all the levers that are going to help us grow margins and as well grow overall EBITDA. So, we are expecting margin expansion in both ‘24 and ‘25, growth in aftermarket, very strong growth, which, as you know, we’ve guided that it’s over 20% EBITDA margin as a business. As well, we’re growing our defense business. That has a very compelling margin profile and the continued deleveraging that both Eric and I commented on. So, during ‘24, as I mentioned earlier, we’re going to see a delivery and cash flow profile that is not too much different than the profile we saw in ‘23. So, expecting a very, very strong fourth quarter, but on top of that incremental margin growth in ‘25 and expansion in other businesses is what will contribute to achieving our 2025 outline. The one other thing I would say, and it’s not a guidance number. But to go back to your earlier question, Kevin, we model and our planning basis is on a book-to-bill of 1 for the year.
Kevin Chiang: Okay, thank you for taking my question. I appreciate that. 
Bart Demosky: Yes, you got it. Thanks, Kevin.
Éric Martel: Thanks.
Operator: Your next question comes from Noah Poponak from Goldman Sachs. Please go ahead.
Noah Poponak: Hey, good morning, everyone.
Éric Martel: Good morning.
Noah Poponak: Bart, would you be able to just actually quantify the pieces between your EBITDA guidance and your free cash flow guidance, like, one, where is cash interest at this point? And then you’re citing working capital, how much working capital is just pure regular old delivery growth? How much of it is to support supply chain and maybe hopefully stops after this year? And then I think you mentioned some other items, R&D and elsewhere. Just given the wide range and some of the headwinds you faced this year that are maybe temporary, I think it’d be helpful if we all had some numbers on those pieces.
Bart Demosky: Okay. So, let me share a few of the items that will hopefully help you build things out, Noah. So, look, first off, we’re expecting a very constructive and positive free cash flow for next year – for this year, I mean, along with growth in 2025. We’re forecasting EBITDA guidance that’s got about a $50 million band this year. So, most of our free cash flow guidance range is for variability on working capital. Kevin earlier – we don’t release exact numbers and don’t provide exact numbers. But Kevin Chiang earlier on the call mentioned $200 million to $500 million. That is a range – this is incremental working capital, which is a headwind on the free cash flow. That’s a range that fits with our modeling as well. As Éric described, it comes down to a variability of production mix to meet changing market demand profiles in ‘23 and ‘24 and that’s there as well. So, the planning basis on book-to-bill is 1. And there are some things that come out, RVGs, we don’t have those anymore. CapEx is coming down, so that helps with free cash flow. And all of those are combining to our guidance of free cash flow, $100 million to $400 million for the year.
Noah Poponak: Okay, appreciate that. And then as a follow-up, in this discussion of mix, which seems somewhat significant vis-à-vis margins and where things go from here. Any ability to quantify, I guess how much higher the Globals could go? They have been sort of flattish. And if we look – looking back in time isn’t the best corollary for this end market, but they have been much higher. So, I guess just how much growth are you looking for in the Globals once you are ready to go? And then, I always wondered, why is the Challenger dilutive? I mean I understand higher priced airplanes have higher margins because the price is so much higher and the cost isn’t that much different, maybe it’s just that. But we constantly hear from the market that the Challenger is the best mid-cabin airplane out there by far, everybody wants it, look at the delivery growth, that tells you where demand is. But the pricing channel checks and data on Challenger never really change very much. So, I guess why aren’t you taking significantly more price instead of volume on Challenger? And why couldn’t that be less dilutive or not dilutive to margins if you had better pricing?
Éric Martel: Well, I think no, I don’t – don’t get us wrong here. The margin on the Challenger are very good. But you need to realize that the airplane is sold as it’s listed in the $20 million-ish, $20-some-million. Our Globals are sold, if you take the 75 – at $75 million-ish. So, you need to sell three Challenger and deliver three Challenger to get to a Globals. And it’s about the same thing on the margin, so it’s – they are adding up. So, clearly, the product mix is different. So, if you do, as an example, a few less Globals, you have to do much more Challenger to basically equal what a Globals will give you. But the margin are good on Challenger and Globals, with some very slight differences, of course, but that’s still pretty good. But it’s clearly the size and the price of the airplane according to the market and what we are selling it for and the difference with the Globals.
Noah Poponak: Okay, appreciate that. And anything you could say about where those Globals units go, ‘25, ‘26, ‘27 versus where they have been in the last few years?
Éric Martel: Well, we don’t guide long-term on mix, Noah, but what we can say is that the market today remains and is very strong for both our Challenger and our Globals products. We are expecting a strong market for both this year. So, that’s – but unfortunately, we don’t guide on mix.
Noah Poponak: Okay. Fair enough. Thank you.
Éric Martel: Okay. Appreciate it. Thanks Noah.
Operator: Your next question comes from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes. Just looking at the booking, you mentioned great color about the book-to-bill of 1 for 2024. But when we look at the mix, there will be greater exposure to Challenger. Could you maybe provide some color about your exposure to fleet operators these days and whether it could be a reason why there is less customer advance, given you might have increased exposure to the fleet operators and the Challenger 3500?
Éric Martel: Benoit, thanks for your question. The exposure to the fleet operator is not really great. It’s about always in the same 20%-ish. But clearly, the mix remain about the same fleet operator versus other. We have delivered, of course a lot of airplane in the last few years. The fleet operator, I would say, keep flying a lot, okay. If you look at the number of flying hours, and I am quoting here the Bombardier fleet out there, we are actually – if you go back to 2019, they went up by more than 50%-some. You remember last week – last year, we quoted that they were 45% higher. They were another 12% higher between ‘22 and ‘23. So, the demand there remained very strong, and these guys need the airplane, and they will keep buying. So, they have been good buyer, good payer and I guess we enjoy doing business with these guys. And again, I think one of the benefit of delivering to fleet operator is also the impact it has on our service business longer term. As these guys are flying quite a bit, you can think of a bit over 1,000 hour per year, so they are going to be buying more parts, getting more services. But clearly, the fleet operator are important part of our strategy. We have been very successful with all of them and they keep buying and keep growing.
Bart Demosky: Okay. Sorry, Benoit, if I could just add as well, the growth as well that Éric is commenting on is not just from our historic relationships, but we are adding new relationships as well, and we are very excited about the growth of that whole market. AB Jets and Airshare became new customers in 2023 and we are looking forward to growing our relationship and delivering more aircraft to them as well.
Benoit Poirier: Okay. And about a year ago, you got the question about capital deployment opportunity once the leverage would fall around 2%, 2.5%. Obviously, you started working on that probably 12 months ago. I am just wondering how have you refined your thoughts around the capital deployment opportunity. Do you have more visibility about what you could do if you have any preference or what you would like to not do once you will get that 2%, 2.5%?
Bart Demosky: Yes. Benoit, so let me go first. I will comment on that a little bit. We haven’t finalized at this point how exactly we want to deploy the cash. However, we are creating, as we speak, many options for ourselves, which includes potential for return of cash to shareholders and as well other investments to continue to grow our business. And Éric and our operations team and our strategy teams are leading that charge. It’s a bit premature to share any information there, but we have a number of exciting opportunities that we are working on. We will provide more color on that when the time is right in the not too distant future. Time does fly by more quickly, I think than we all like it to.
Benoit Poirier: Perfect. And congrats for the strong achievement made in 2023, by the way.
Éric Martel: Thanks Benoit.
Bart Demosky: Thank you, Benoit.
Operator: Your next question comes from Myles Walton from Wolfe Research. Please go ahead.
Louis Raffetto: Hey. Good morning. You have Louis Raffetto for Myles.
Éric Martel: Good morning.
Louis Raffetto: Maybe just to stick with the book-to-bill question for a second. So, I assume that’s on a unit basis, the 1x for ‘24?
Éric Martel: Yes, it is, Myles. Yes.
Louis Raffetto: Okay. And then I guess how are you thinking about the mix of those orders? Is it going to be similar to the delivery pattern that you see for ‘24, so you do get a little backlog burned down, or…?
Éric Martel: Yes. No, but I think we are – I am not guiding on this, but of course, we are always assessing the market. So, our book-to-bill will be in line with basically what we are aiming to deliver in ‘25 and even ‘26 eventually because we have got quite a bit of backlog pretty much on all programs. So, last year as I have said, we had a bit of a different mix and it was mainly due to us making a decision of slowing down on one program to accommodate and give a chance to our supplier to catch up. But clearly, now this is starting to be behind us, that situation, allowing us to ramp up again and sell these airplanes. As I have said earlier, we cannot sell the airplane that we are not going to manufacture. So, that has a bit of a temporary impact last year.
Louis Raffetto: Okay. Great. Interesting. And you kind of brought up the lead times there. So, kind of how far out are the lead times now on the Globals and how does that compare to the Challengers?
Éric Martel: I think they are both, you have to think about 18 months to 24 months on the different platforms.
Louis Raffetto: Okay. Great. Thank you very much.
Éric Martel: Thank you, Myles. Thank you.
Operator: Your next question comes from Tim James from TD. Please go ahead.
Tim James: Thank you. good morning everyone. I guess just wondering if we can dive into a little bit more specifics on the supply chain challenges that have been influencing your production plans and your delivery outlook for 2024. It sounds like, obviously, just based on the mix that you are talking about, that it’s more of an impact on the Globals. Is there any more color you can kind of provide on the specifics there of where the pinch points are?
Éric Martel: Yes. No, that’s a great question. I would say the way I would characterize it is, I think that we have been able – the team has been extremely successful in narrowing the problem we had with supply chain. If you go back 2 years ago, even 12 months ago, we had multiple issue that we were always managing. So, I would say we have less issue right now. But some of them were a bit more profound on just a few, and that’s why we wanted to give a chance for everybody to catch up. So, we have slowed down actually one of the line for that. So, now we are, I would say, in a much better position. I cannot declare that everybody is on schedule, not yet. But some of the significant suppliers, I would say, are still in a catch-up mode, but we have less issue as a lot of them, the majority of our suppliers are back on track, but we still have a few ones that we are monitoring extremely closely.
Tim James: Okay. Thank you. And then my follow-up question, just on the new Toronto facility. I believe, correct me if I am wrong, you have more or less sort of moved into that new facility. Could you talk about any implications for profitability and for margin this year? Is there any sort of noticeable benefit or any kind of ongoing non-recurring costs related to that move? How should we think about the impact of that? And maybe it’s just on sort of production flows. Has that been fairly seamless? Maybe just a little bit of additional color.
Bart Demosky: Yes. Thanks Tim. So, look, we are very proud of our new global manufacturing center. It’s an amazing facility. Hopefully, everyone on the call will have the opportunity to come and visit with us in the not too distant future and just see what a world-class manufacturing facility looks like. We were doing the cutover of production from the old facility in the last quarter of last year, and we have now finished that in the early part of this year. So, the spend – the vast, vast majority of spend is behind us. So, it won’t have any implications for CapEx going forward from here. And that’s why I commented on our CapEx declining year-over-year to be below $300 million is what we are expecting for this year. If you think about the aircraft that were going through the facility towards the end of last year, those will be aircraft that will be delivered this year, not last year. We saw no production issues whatsoever. The team has performed absolutely exceptionally. And we are very fortunate, given that the facility is quite close to the old Downsview facility that virtually all of our workforce has just made the move over with us and has stayed with us. It’s an extremely experienced workforce, many of whom have been with us for a long, long time, and they contribute greatly to the ability for us to manage our costs on that platform. So, yes, it’s a – we are in great shape there.
Francis Richer de La Fleche: Operator, we will have time for one last question.
Operator: Your last question comes from Konark Gupta from Scotia Capital. Please go ahead.
Konark Gupta: Thanks and good morning everyone and thanks for squeezing me in. Just wanted to understand, I get you are being cautious on working capital because of the supply chain issues, whatnot. But your revenue and delivery guidance was pretty good, and probably delivery guidance is ahead by 1 year at least, let’s say, based on your original plans. What portion of this guidance you think is already secured in your backlog? I mean in other words, is guidance overly dependent on orders that you haven’t won yet?
Bart Demosky: Yes, Konark, thank you for the question and good morning. So, the guidance that we provided for 2024 is virtually 100% known to us because we have – all the aircraft for the year is entirely sold. That’s in both for the Challengers and the Globals for 2024. So, we are very confident in our guidance when it comes to the earnings growth and revenue growth that we are forecasting for the year. When it comes to the cash flow, as we commented earlier on, we do have working capital build and it’s because of the right decisions that we made, quite honestly to adjust production schedule or production rates on one of our aircraft, which will be reverting back this year to a higher production rate, and that will require more working capital, so very confident overall.
Konark Gupta: It makes sense. And if I can just follow-up quickly, I don’t think we have discussed a lot on the pricing dynamics on this call today. Is there any moving parts on the pricing side on either platform, Challenger or Globals? I am especially looking at a potential where a customer of yours is going through some difficulties, and I think some investors are kind of considering if that customer kind of starts putting some aircraft into the pre-owned market?
Éric Martel: No, you know what, not at all. Actually, the pricing is remaining to our expectation. It’s been the same pattern in the last quarter and it remains the same pattern this quarter. So, we have been able to increase pricing along the years, as you know. And right now, we don’t feel any pressure. Actually, the most recent data shows that pre-owned, especially on the airplane that are less than 10 years, pre-owned airplane as inventory has decreased slightly. So, we are confident, and actually, our airplanes remain popular. We have backlog, people still knocking at the door and looking to buy. So, pricing is definitely not a concern at this stage.
Konark Gupta: That’s great color. Appreciate the time. Thank you.
Éric Martel: Thank you, Konark.
Bart Demosky: Thank you, Konark.
Operator: I will now turn the call back over to Éric Martel for closing remarks.
Éric Martel: So, thank you all for joining us today. And as you can see, Bombardier has distinguished itself on many fronts in 2023. The foundation we have laid in the recent years have enabled us to grow and stand out in the industry. We are looking forward with confidence and have everything in place to maintain our upward strategy – trajectory. I want to thank you all for your time today and for your continued interest in Bombardier. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for joining and you may now disconnect your lines. Thank you.